Operator: Good morning. This is the Chorus Call conference operator. Welcome, and thank you for joining the doValue Preliminary Full Year 2025 Financial Results Presentation. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Daniele Della Seta, Investor Relations. Please go ahead, sir.
Daniele Seta: Good morning, everyone. I'm Daniele Della Seta, Head of Investor Relations at doValue. I'm joined by Manuela Franchi, our Group CEO; and Davide Soffietti, our Group CFO, as we present our preliminary full year 2025 results. Manuela will begin with an overview of our performance, including key insights into market and business trends. Next, Davide will provide a detailed analysis of our financial results for the period. We'll conclude with a Q&A session to address any questions you may have. Thank you for joining us today. I will now hand over to Manuela.
Manuela Franchi: Good morning, everyone. Let me start clearly and concisely - we delivered. We met our 2025 business plan targets for both cash flow and EBITDA, our seventh consecutive year of delivery on the 3-year business plan, and we reached several milestones even earlier than planned. And we achieved this in a particularly challenging phase of our industry while also executing 2 major M&A transactions that will shape the future of our company. Before walking you through the results, which together presented solid and consistent picture, I want to thank all the people at doValue. Their commitment and hard work have enabled us to accomplish what many in the market doubted would be possible. Commercial momentum remains strong with new business intake closing at roughly EUR 15 billion, 1.8x the annual business plan target and a pipeline that continues to support the visibility into 2026. Profitability strengthened with EBITDA ex NRI reaching a record EUR 217 million and margin at 37%, up 3 percentage points year-on-year. The near completion of the Gardant integration is now contributing to improved efficiencies across the platform, setting the strong foundation for the next year. Cash generation was also very strong with free cash flow at EUR 76 million, well above guidance. These results supported both deleveraging and the return to dividend payment in accordance with dividend policy. On a recurring basis, free cash flow was EUR 93 million, bridging the gap towards the 2026 EUR 90 million target. Net leverage stood at 2x at year-end, fully in line with guidance, even after accounting for extraordinary payouts linked to the M&A activities, such as EUR 6 million cash out for Alba Leasing, which was not contemplated when the guidance was announced. As for coeo, I know that just like us, you are eager to see the performance reflected in our numbers. The transaction is expected to close shortly with no execution issues. Coeo delivered another year of strong double-digit organic growth with files intake up 23% in '25 and well ahead of our buyer case but also seller case. Altogether, we entered '26 with a stronger business, a clearer trajectory and the foundation to deliver our next set of targets, including coeo. If you follow me on Page 3, let me start from the bigger picture. DoValue today plays a system-level role in Europe's financial stability. We operate at a scale that very few players in Europe can match, managing over 4.3 million position across individuals and businesses, all of this before coeo, which will more than double the number of data points with a broader scope. This gives us one of the largest behavioral and credit database in the market, an asset that allow us to anticipate patterns, tailor strategies and support the functioning of the financial system with evidence-based decision-making. This is the context in which our portfolio proves sustainable across cycles. It is diversified by design and managed by specialized professionals operating in areas where AI alone is not enough. First, diversification. Our portfolio is no longer a single asset NPL story. Alongside NPLs, we manage a large UTP perimeter, about 1 million positions, where we act as a structuring partner to protect value early. And we are developing a growing reperforming base currently of 400,000 positions that extracts value from proactive debt management. Second, runway and capacity. Look at '25 impact indicators at the bottom, 58,000 positions recovered from individuals, 21,000 from businesses, 12,000 positions restructured and 3,000 [ reperforming ] positions collected. All these figures show a substantial annual throughput. But when you said that against the overall stock of 4.3 million outstanding positions, it's clear there is ample embedded opportunity in the existing book, a lot still to convert, which underpins visibility for the coming years. Third, AI resilience. 88% of our portfolio is made up by loans above EUR 50,000, typically complex, bespoke and legal intensive. Here, AI augments our execution capabilities, but outcomes are driven by highly specialized asset managers who cannot be replaced by AI-only models, also due to the proprietary nature of our data set, which encompass decades of data and is not available to third-party models. In short, our scale, our dataset and the complexity we manage make doValue one of the few players that truly matter for Europe's financial stability, and they give us a long predictable and AI resilient path of value creation. With that foundation, let me turn to the '25 new business inflow on Page 4. In '25 GBV from new business reached almost EUR 15 billion, 1.8x our initial business plan targets, confirming the strength of our commercial engine. New Mandates continued to grow in the fourth quarter by nearly EUR 1 billion, including around EUR 600 million from [ Banco ] Project in Italy and EUR 200 million from the new contribution fund launched in December by doValue through its asset management platform focused on state guaranteed loans. Spain also added EUR 200 million in the quarter with mandates from a major banking institution. We also saw sustained forward flow from existing customers, which totaled EUR 4.3 billion for the year, covering around 80% of collections. This performance was mainly driven by solid contribution across countries with continued acceleration in flows from Santander in Spain, up 60% year-on-year, which has been recently renewed for an additional year without any front payment. If we take a step back, the scale of what we have achieved over the past 2 years becomes even clearer. While bank boost NPE ratios and cost of risk at historical lows, we secured EUR 24 billion of cumulative new business, nearly EUR 11 billion of which from banks. This is not just commercial success. It's a tangible demonstration of the systemic role of our industry in Europe's financial ecosystem. Banks, funds and institutions rely on our and our competitor platform through the cycle, and this is precisely what underpins the long-term sustainability of our business. Let's now turn to Page 5. Here, we outlined our pipeline, already reflecting the broader scope and diversification of the group after the coeo acquisition. What you see on this page is not just the net flows of inflows -- the net wave of inflows, but the shape of a business that is becoming structurally wider, more diversified and more balanced across products and geographies. The NPE pipeline is large and diversified. This pipeline amounts to EUR 50 billion, well distributed across countries and asset classes with almost 1/4 being UTP. I would like to take a moment to clarify the tax credit opportunity in Italy. As part of the '26 budget law, the government has introduced a new framework to recover unpaid tax and property revenues from local authorities with AMCO pointed to orchestrate the collection efforts. A decree expected in March will define the operational parameters, including the potential outsourcing to license operator, a key enabling step for volumes to flow. We are currently working on obtaining a license in order to be among the selected subservicers. For now, the initial stock identified as recovered amounts to roughly EUR 20 billion, and we are prudently including EUR 4 billion of what in our pipeline as the share realistically attainable by the value. But it's important to be clear, these figures represent only the first phase of the opportunity, specifically the local authority receivables that were already assigned to the [ Agencias delle Entrate ]. If the model proves effective and scalable, the pipeline would expand materially, potentially including local authority receivables currently handled by smaller local operators, central government receivables today managed exclusively by [ Agencias delle Entrate ]. Parallelly, on the coeo side, the pipeline is extremely strong with potential for additional annual revenue of over EUR 250 million. This means that with the current dip in the market, coeo could effectively more than double its annual revenue and largely diversified customer base. Indeed, 2/3 of the pipeline comes from sector beyond e-commerce, including telcos, insurance and mobility. All this comes from opportunities in markets where coeo is currently present. Once we look at expanding coeo into doValue, this opportunity further expands. We included a deep dive for Italy and Spain, and you can see there are plenty of sectors with small ticket receivables that coeo could tap with its highly automated digital recovery processes. Let's now turn to Page 6. Here, we have shown the market backdrop. Insolvency have been rising across the EU with bankruptcy declaration up 18% year-on-year in '24 and the '25 run rate reaching the highest level since '19. In Q4 '25, seasonally adjusted declaration were once again up quarter-on-quarter, underscoring that the trends remain live. By country, the picture is fully designed with what to be observed on the ground. Greece recorded an average plus 20% quarterly increase through 2025. Italy is expected to exceed the pre-pandemic insolvency levels. Germany started its upswing later, but is expected to continue. And Spain showed insolvency levels contained but higher versus 10 years ago across most markets. Now an important point of context. Our business plan '24-'26 was built without assuming any macroeconomic shock or deterioration. Despite that, we have delivered new business significantly above expectation in both '24 and '25, even while banks were reporting historically low new NPE ratios and cost of risk. What this means is that in an already benign credit environment, doValue still capture strong inflows and commercial traction. And if the current insolvency trend persists or broadens, it represents potential upside versus the intake assumed in our plan with the usual time lag between filing and onboarding and with the same discipline on mix and pricing, guiding what we choose to service. Now on to a more cheerful note, let's move to Page 7 for an update on coeo. '25 has been another really strong year for them despite management being largely involved with a long and complex sales process to doValue. Coeo grew New Files by 23% to 9.6 million files, reflecting both in-market client growth, notably in telco across Germany, Sweden and the U.K. and client-driven expansion into 3 new markets: Switzerland, Norway, Finland without M&A. On the digital engagement and service quality, coeo is running AI-enabled interaction across Germany, the U.K., the Netherlands, Austria, Sweden and Norway, delivering over 1 million customer interaction completely digital whilst maintaining excellent customer satisfaction metrics. On the financial side, coeo delivered around EUR 60 million EBITDA in 2025, excluding EBITDA coming from the hybrid model with a 35% increase in portfolio investments, which fuel future collection revenue growth. It's important to note that this 35% increase in portfolio investment was entirely funded through the strong cash generation of the business, evidence of the sustainability of the hybrid model. Moving to Page 8. We have initially hoped to close the coeo transaction by January. The closing is still pending without any issues. I'd like to give you some color on the process. The transaction is clearance by 4 major authorities in several countries where coeo operates. We are awaiting clearance from just one last authority in Germany. The time line was extended due to the document collection and examination requirements across multiple jurisdictions and counterparts and administrative multiparty review that simply taken longer than anticipated. Importantly, there has been no change to the perimeter on terms agreed, and we remain fully engaged with the authority on the remaining steps. From an execution readiness standpoint, we are prepared to move quickly once clearance arrives. We have already agreed the integration plan structured along 7 work streams; governance, finance, HR, IT, procurement, AI and business expansion with clear owners detailed checklist and no disruption expected for clients. The AI work stream is set to make coeo, the group AI app for small tickets, digital first growth while presenting our high-touch approach on complex exposures. We will close promptly upon receipt of the final clearance and are operationally ready to integrate from day 1. First, we operate in 2 very different arenas. Now you can see it on Page 9. Here, we want to comment upon the recent noise about what the AI winners and loser will be, and we want to be very concrete about how AI touches our business. On the one hand, we manage mid-large secured loans. Our [ core ] book with an average ticket of around EUR 70,000, where AI mainly improves cost efficiency and workflow orchestration, but outcomes still require experienced asset managers. Here, AI is an enabler with limited impact on economics, not a substitute for human expertise. On small and secured tickets, AI matters more because full automation is needed to make unit economic work. That is exactly why we choose to enter this segment through coeo, a digital AI-driven platform built for scale. In practice, we are already using AI where it moves the needle. Digital debtor portals and channels are live in Greece, about 30% of 0 to 90 days collection are handled digitally. We are also using modeling and advanced analytics for segmentation and propensity to pay, virtual agents to support our teams on [indiscernible] responses and call wrap-ups and document analytics to extract facts from judicial and notarial files. The impact is visible. With the initial adoption of the digital platform in Greece, small ticket EBITDA margin increased from roughly 53% to 89%, a step change that illustrates how automation can lower the cost to collect without compromising governance. It's equally important to explain why we are structurally protected as AI adoption accelerates in 3 ways. First, regulation. Our activities require licenses and human oversight. AI cannot hold a servicing license or assume legal responsibility under certain regulation. So human-in-the-loop is mandatory in our markets. Second, data. AI needs domain-specific training data. DoValue owns one of the Southern most -- Europe's most expensive proprietary credit recovery databases, which is private and not available to third-party models. Third, complexity. Corporate and secured recoveries are bespoke and legal intensive. Local courts filing, multiparty negotiations are at the heart of our business. Automation can manage low-value, high-volume cases. Experts drive outcomes on complex scales. Our strategy is clear: automate at scale where automation wins small ticket by coeo and augment human expertise where value is created. Secured and complex claims add to value, all under a road map with a clear roadway. Regulation, data and complexity will continue to be durable moves as AI promises. Let's now turn to Page 10 with an overview on the German market, which will become very important for us. Germany is now the #2 NPL market in Europe by stock held on bank's balance sheet at EUR 46 billion, up 24% versus 2019 and 21% larger than the current Italian size. Importantly, this EUR 46 billion figure covers banks only. It excludes position held by investors, fintechs and debt purchasers and receivable from nonfinancial entities served by coeo. So the true addressable market is materially larger than on balance sheet number. Yes, the servicing market is underdeveloped. It's highly fragmented with servicers typically specialized by client segments and not meaningfully consolidation to date, leading limited scale platform and clear scope for a consolidator to bring multi-client, multiproduct capabilities. On execution, the regulatory bar is also a differentiator. Since '24, Germany requires a CSI license to operate in credit servicing. We have secured the license, established doValue Germany, onboarded project staff and identified key hirings, completed the first market analysis, upgraded system to run NPL workflows and onboarded an initial client, aiming to make profits already in '27. All these are concrete tangible steps and not simple intention. Strategically, this expansion is the first synergy of the coeo acquisition. Germany is coeo largest market. Sweden ahead of closing. We are not standstill. We are leveraging coeo footprint and digital stack to accelerate entry, demonstrating that we are proactive and already putting the model in motion to scale quickly once consolidation is completed. To sum up, a large and growing German NPL pool plus the fragmented servicing landscape creates room for a sizable opportunity. We are in markets licenses and building capacity using the coeo's first synergy of the deal to ensure that once consolidation is completed, we can scale delivery from day 1. Before I hand over to Davide to walk you through the financials, let's turn to Page 11 and look at the progress made so far on the business plan horizon. This is our second consecutive year of delivering this guidance, and we are ahead on the 2024-'26 business plan. Cumulatively, we have already reached the full 3-year new business target in just 2 years, more than EUR 24 billion of GBV from new business in '24 and '25 only. Engine 2 of growth is delivering. The digital platform is live in all countries. Our alternative asset management company is above EUR 1 million of fee-generating AUM with 2 new funds launched in recent months. FinThesis has already intermediated 2,000 mortgage applications and our advisory unit continues to expand. With the consolidation of coeo, Engine 2 will become the group main business and represent the majority of group revenue from day 1, not over time, shifting the group revenue mix as outlined at the Capital Markets Day. On capital structure, we delivered as well. We refinanced the '25-'26 bonds by summer '25. And in October '25, issued the 350 2031 notes at a coupon 160 bps lower than the February issuance despite the longer maturity. Our bonds trade at a yield to maturity around -- below 5%, sorry; the lowest in the industry, and we still see room to optimize interest costs through further refinancing. Finally, financial performance is in line with guidance. GBV of EUR 136 billion, EBITDA of EUR 217 million ex-NRI, free cash flow of EUR 76 million, net leverage of 2x. So overall, we are delivering what we said. We are ahead on the transformation, and we are doing it with a capital structure and the financial profile that supports the next phase. Actually, we didn't just deliver on the numbers, we overdelivered on our strategic position. We expanded our geographical footprint, strengthened our AI capabilities and broadened our product scope with an acquisition that will open a new chapter for doValue at the next Capital Markets Day. And we did all this while keeping leverage in check and delivering on every stand-alone target. I will now hand over to Davide, who will take you through the financial results in more detail.
Davide Soffietti: Thank you, Manuela, and good morning, everyone. Let me start by saying that 2025 was a year of tangible progress and strong financial execution as is clear from the summary of our preliminary full year results on Page 13. 2025 stands out as a year where we delivered strong results and materially enhanced profitability with double-digit increases in both revenues and EBITDA. Gross revenue in 2025 was EUR 580 million, showing a solid double-digit growth of 21.1% versus the prior year. Despite temporary timing effects related to the ramp-up of the collection process on the new Greek portfolios, the underlying momentum remained strong with growth sustained by non-NPL revenue, which continue to expand their contribution to the group's mix as indicated in our plan. Net revenue rose to EUR 524 million, mirroring the gross revenue growth in the presence of a stable impact of outsourcing costs year-over-year. EBITDA ex-NRI reached EUR 217 million, up 31.8% versus 2024. Synergies expected for the Gardant acquisition are playing out exactly as expected in Italy with integration now largely completed. Cost discipline across the other regions continue to support high margin, up by 3 percentage points from the 2024 level. Net income ex NRI increased to EUR 25 million, more than tripling from EUR 7 million in 2024 despite higher financial costs and higher D&A following the consolidation of the Gardant perimeter. This is fully consistent with our M&A philosophy. Every transaction must be EPS accretive, and the performance we are showing confirms exactly that. The coeo acquisition will show in our figures in 2026, and it will be a synergy. Moving now to Page 14, we can find breakdown of gross revenue per region. At group level, gross revenue grew by 21.1% year-on-year, driven by continued growth in non-NPL revenues, both UTP and recurring with [indiscernible]. Non-NPL revenue represents now 36% of gross revenues, up 1 percentage point from 2024, in line with the group strategy shift towards higher growth, lower volatility segments. This will expand further following the completion of the coeo acquisition. In the Hellenic region, as mentioned, revenues in Q4 accelerated due to timing effect in the ramp-up of new portfolios, which we expect to contribute fully to revenue in 2026. Other than that, the regions continue to show sustainable activity across all of the business segments with healthy collections underpinned by different markets. In Italy, gross revenue grew 61% year-on-year, supported by the combined contribution of Gardant and the strong growth in non-NPL revenue, which will continue to expand even excluding Gardant. It is important to highlight that even on a stand-alone basis, both doValue and Gardant recorded low single-digit growth, confirming that the stabilization of GBV and the increasing weight of non-NPL revenues are already shaping a new positive growing dynamic even in a mature markets such as Italy. In Spain, revenue declined EUR 41 million as weakness in REO was mitigated by circa 60% growth in UTP servicing. Revenue in the future will be driven by new business intake in a still fragmented market. On Page 15, you can see the result of the continuous cost discipline efforts at the group level and of the successful integration of Gardant, delivering all the synergies promised 1 year ago. In 2025, operating costs increased only by 14.6% year-on-year, 6.3 percentage points less than revenues despite the inclusion of the cost base of Gardant. More in detail, HR costs grew 17.3%, leading to an incidence on revenues lower by more than 130 basis points, mainly thanks to effective release of synergies in Italy as well as cost savings across all geographies. As for IT, Real Estate, SG&A expenses, we recorded an increase of only EUR 42 million with the incidence on revenues falling 170 basis points as the group listed savings in all markets. On Page 16, we find by country details of EBITDA ex-NRI, which reached EUR 217 million at group level, up by 31.8% year-over-year and landing at upper end of our guidance for 2025. In Hellenic region, EBITDA ex NRI reached EUR 121.4 million with a reduction versus 2024 that mirrors the revenue dynamics, although partially mitigated by cost discipline measures. The region continued to be a key profitability driver for the group, contributing 56% of total EBITDA ex NRI with a solid 51% margin. In Italy, EBITDA increased 50% to the contribution of Gardant as well as the effective release of synergies. Indeed, the Gardant integration has been progressing really well, and the synergies are evident. In Italy, the EBITDA margin increased by 13 percentage points year-on-year with more value extracted from the acquisition than originally expected. This remarkable results demonstrate the high value-creating nature of our M&A activities. In Spain, we achieved a positive EBITDA as cost savings contributed to offset negative trends observed in REO. Nonrecurring items were limited to negative EUR 8 million, originating mainly from consultancy costs related to the coeo acquisition and cost to release Gardant synergies. Moving to Page 17. We show very positive dynamics in net income evolution, which, excluding nonrecurring items, more than tripled to EUR 25 million and increased by EUR 19 million compared to 2024. Analyzing the most impactful items between EBITDA and net income, depreciation and amortization and net impairment on PPE & intangible increased EUR 36 million year-over-year. The increase versus last year is mainly related to incremental D&A from Gardant and its PPA. Net financial interest and commission were higher, reflecting the normal impact of the larger gross debt following recent M&A activities. This includes the term loan paid in 2024 to fund the Gardant acquisition, currently circa EUR 300 million outstanding and amortizing EUR 53 million per annum, EUR 300 million bond due 2030 issued in February and EUR 350 million bond due 2031 issued in November and currently held in escrow until closing of the coeo transaction. Income tax decreased on a recurring basis by 17% year-on-year, while reported tax increased due to adverse comparison effect related to an extraordinary EUR 20 million positive effect in 2024 from a tax claim won in Spain. Net income attributable to noncontrolling interest increased EUR 6 million in 2025 to EUR 18.1 1million due to Gardant minorities. Nonrecurring items for the period amounted to EUR 34 million, up by EUR 29 million, mainly due to the aforementioned EUR 20 million positive effect from the tax claim in Spain related to 2024 and the nonrecurring financial costs related to the 2 recent bond issuance and early redemption of the '26 bonds. As a result, net income, excluding nonrecurring income items, reached EUR 25.3 million, up by EUR 19 million paving the way for dividend payout in line with our dividend policy. Moving to Page 18. Let's have a look at the cash flow dynamics, which, as anticipated in our plan, improved significantly. We are pleased to see the group being back to its previous high cash generation levels with cash flow from operations up EUR 99 million to EUR 181 million in the full year, thanks to positive EBITDA contribution and working capital dynamics and tighter control over the change in other asset and liabilities. Capital expenditure increased by EUR 11 million versus last year, higher than previously guided due to AI and automation initiatives to unlock efficiencies, investment in data strategy, investment to strengthening the group's cybersecurity perimeter as well as investments linked to the Gardant integration, namely the unification of system across the company. Net working capital released EUR 32 million, mainly linked to the recovery of past invoices in Greece and some nonrecurring expenses related to the coeo, which will be paid on closing. Lease payments under IFRS 16 amounted to EUR 17 million, including Gardant perimeter, in line with previous messaging. Payment for redundancy were EUR 11 million, slightly down versus 2024 as the group successfully limited redundancy by relocating personnel across the wider doValue Gardant perimeter, limiting the use of external asset managers. Other change in other asset and liabilities reflect the expected reversal of the MBO effect and include a positive effect related to the coeo transaction which will be reversed in 2026. Minorities were unchanged versus 9 months results as expected. Investments in equity and financial assets accounted for EUR 18 million, mainly from nonrecurring payments for the earnout in Greece and investment in Alba Leasing. Taking all this into account, free cash flow before debt repayment or dividend landed at EUR 76 million, above our EUR 60 million to EUR 70 million guidance range. On a recurring basis, excluding M&A-related effects such as earn-out for doValue Greece, Alba Leasing investment free cash flow for debt repayment would have been EUR 93 million, bringing the gap towards the 2026 free cash flow guidance. Based on the results achieved, doValue currently trades at a free cash flow yield of around 18% or 21% on a recurring basis. To conclude, let's now move on Page 19 and take a look at our financial structure. Net financial leverage at the end of December stood at 2x, down from the 2.4x level at December 2024, reaching the target for the 2025 despite an additional extraordinary M&A related to Alba Leasing. Even after the EUR 53 million term loan repayment, the group maintained a solid liquidity buffer of EUR 277 million, made up of EUR 145 million cash on balance sheet and EUR 152 million undrawn revolving credit facility, including a EUR 20 million new facility agreed in January '26, which remains completely undrawn. Overall, we closed the year with a solid capital structure, BB credit rating, strong performance in the bond market with our bonds trading at the lowest yield in the industry, below 5% and no refinancing needs until 2030, given the recent November issuance to finance the acquisition currently held in escrow. As we continue on our delevering path, we also see further opportunities to optimize our cost of debt by refinancing instruments issued at higher coupon. Importantly, this structure gives us significant flexibility in future capital allocation and shareholder remuneration; topics that will be addressed in detail as part of the next Capital Market Day. This is all our side for today. Thank you all for your attention. We will now take your questions.
Operator: [Operator Instructions] The first question is from Tommaso Nieddu of Kepler Cheuvreux.
Tommaso Nieddu: I have a few. The first one on free cash flow, which was clearly the main positive surprise. On working capital, the EUR 32 million release in 2025 was, I believe, materially ahead of your prior guidance and our expectation. Can you help us understand with more details what structurally changed there and also beyond the EUR 5 million temporary benefit from coeo? And given the 2025 net working capital release, as we think about 2026, should we assume a broadly neutral working capital? Or do you see scope for further structural release? The second question is on dividends. While you reiterated that the proposal will be in line with policy, could you give us more clarity on how you think about positioning within the 50% to 70% payout range? And for now, the last one on Gardant. You originally guided for EUR 5 million of synergies in 2025 and EUR 15 million at a full run rate. My question is, could you quantify how much has been realized to date and whether there is any incremental upside beyond the EUR 15 million target?
Davide Soffietti: Tommaso, I will take your first question. Free cash flow, EUR 32 billion were coming as anticipated mainly from Greece as we guided EUR 15 million to EUR 20 million, the higher level of our guidance. Then we have also a contribution, as I was saying, from coeo, we have roughly EUR 3 million that has been included in the reported EBITDA that will be paid in 2026 at closing. And then we have also positive impact from Italy, both on working capital and also because we were able to use our tax credit that has been transformed in tax credit has been used to pay related to the working capital. For '26, we still expect a positive contribution from working capital, we still need to recover advanced payment we made in Greece. So we would expect still a double-digit contribution of working capital in 2026.
Manuela Franchi: On the dividend front, we will propose to be on the high end of our guidance in terms of percentage, probably rounding the numbers up. On the Gardant integration, about 2025, we closed between actual synergies of around EUR 9 million to EUR 10 million. We confirm still the run rate of EUR 15 million, hoping to do better. All the actions have been put in place. The technical aspects to be executed will complete by June. So by June, everything is really closed. And the team is running ahead of guidance on the cost efficiency side.
Operator: The next question is from Antonio Gianfrancesco of Intermonte.
Antonio Gianfrancesco: Congratulations for these set of results. I have 2 questions. The first one is on new business because new business intake reached EUR 14.5 billion in 2025, exceeding already the cumulative business plan target, a very good figure. But I would be -- it would be useful to better understand your expectation for inflows in 2026, both in terms of volume and product mix and how confident you are in maintaining this commercial momentum in a market where NPE inflows remaining for sure, structurally low, but insolvency trends appear to be rising? The second question is on coeo, because I understand that BaFin approval is the final step before closing. And you have confirmed your guidance for 2026, which includes coeo's contribution. So considering that the actual closing will now take place at least 2 months later than planned or something like that, it will be useful to understand whether you expect this delay to have any potential impact on execution in 2026? And the third one is on the German expansion. You highlighted Germany as a fragmented and consolidated market with CSI licensing obtained and operations starting, if I don't understand worse in January 2026. So some additional color on the medium-term ambition in that geography, let's say, in terms of scale, investment intensity and potential margin profile would be very, very helpful.
Manuela Franchi: Thank you for your question. On the business volumes, clearly, there were major transaction this year that we had embedded as probability in our pipeline. But obviously, they all realize in a positive manner that probability will become 100%, and this has brought to doubling the level. Clearly, the level of primary transaction across the core markets, the Southern European one, we see them less in the traditional NPL business, while they will be mostly focused on the UTP and Early Arrears part. And also the pipeline regarding nonfinancial claims from there is quite big given that it's a market we don't touch today or at a very limited extent in Spain and that for us is an open opportunity. So we confirm -- we reiterate still what we had in the business plan of EUR 8 billion. Clearly, this EUR 8 billion is composed by forward flows and the new contracts. On a positive note, the forward flow this year only contributed more than EUR 4 billion. Clearly, this includes UniCredit that has finished in terms of forward flow last October and that is replaced by Sondrio that obviously it's smaller that will start after April. And the renewal of Santander, which this year has done more than EUR 1 billion over our budget. So this brings us to positive expectation also on the forward flow contribution of 2026. If you remember, our original mix in the EUR 8 billion was EUR 2 billion from forward flow and EUR 6 billion from the rest and also this component is much higher. This is without coeo. Obviously, coeo has an end market which is different. And in that sense, is a growing market. And this is all assuming in our core business still not substantial increase in the default rates, which is instead happening. So we prefer still to be conservative on this front. Also because you might remember that the time between winning the contract onboarding and the actual pickup of the activities takes a bit of time. And so it has a more dilutive effect over time. Now on the coeo side, the -- in terms of execution of the integration, we don't see impact on the execution. Why? We have already defined the integration plan, and we are already moving ahead with the business opportunity without waiting the closing. So coeo team has built a division to manage NPL and has already deployed a system which allows them under our guidance to manage our traditional NPL. And they already got new clients from January for which they are managing NPL bank. So we are talking to banks. I was actually in terms of for a conference with banks just 2 days ago because the regulator is telling them to prepare themselves for this increasing weight because they have not used those internally to manage more NPL. And to do it more efficiently based on other models and Italy was portrayed as a reference model for the servicing industry. So that activity is developing. On the other side, we are deploying in Italy and in Spain, the coeo models and system. And we can say that already from April, we will start managing 2 of the major clients in our jurisdiction. So this is major results. Then if you look from a pure accounting standpoint, clearly, the figures we have given are pro forma, and it depends on the timing of close, we will consolidate from that point in time. But in terms of free cash flow generation and the targets, we feel confident given that the contribution of coeo in '26 was pretty much somehow offset most extent from the transaction costs, while the full effect on the free cash flow side is from the year after. So because we already achieved this year, clean for the extraordinary elements, the EUR 90 million guidance, the target for the EUR 2.2 billion, it's pretty much sustainable despite this delay. Now going back to your last question on the German expansion. Clearly, our history in Germany is different now from Southern Europe, where we bought a legacy platform that we will go to make more efficient, more modern. In Germany, we start with a model which is extremely light doesn't have legacy, and we would like to grow our market share, keeping that approach. So we will look to M&A in a very thoughtful and selective manner, but we prefer the organic growth strategy in that specific sector, given that it has proven very successful and the AI-driven collection model in the German market has taken a lot of market share from traditional players in the small ticket business, and we hope to do the same also for the NPL. Obviously, adding the more human-intensive piece that we have explained is critical for when you manage larger tickets. But on that front, as I said, the team has already hired a few people, has already [indiscernible]. So -- and all of this is -- all these costs are included already in the guidance we have given.
Operator: The next question is from Davide Rimini, Intesa Sanpaolo.
Davide Rimini: Just a few. One is on cash flow. I was just wondering, you mentioned already your guidance in terms of working capital contribution for this year. I just wonder whether you might mention a few other building blocks to get to a rough guidance for this year versus the EUR 76 million reported today? The second question would be just a clarification on the pro forma confirmed guidance for this year. I just wonder whether you might add on coeo business, whether there is any seasonality in the business that we should be aware of within the year? And that might affect sort of this message? And the third question, still on coeo. I noticed that you put sort of a slide on the potential pipeline in the 18 months forward on EUR 250 million. And at the same time, you highlighted the opportunities in extended the business in countries like Italy and Spain. I just wondered whether the EUR 250 million is including these opportunities or is excluding those?
Davide Soffietti: Davide, I will take your first question. '26, as we mentioned already in 2025 shows that we are able to -- excluding nonrecurring items to be at EUR 90 million. So in 2026, we still have CapEx that will be quite in line with this year, probably around EUR 30 million. We will have a positive contribution from working capital between EUR 20 million and EUR 25 million. We'll have change in other asset liabilities that are always the IFRS EUR 70 million plus redundancy that expected around EUR 60 million. We have tax income to pay around EUR 30 million. Financial charge expected roughly EUR 36 million, EUR 38 million. And we still have the earnout to the grid that is the last one we need to pay this year is EUR 12 million. The next one will be in 2030 of EUR 60 million and minority that is quite in line with this year, so roughly EUR 8 million. On coeo, as Manuela was mentioned, we get free cash flow that will be mainly compensated by the transaction cost and by higher financial charge. But from 2026, we will benefit from the cash flow. This is why we are confirming EUR 90 million. Then we will have the benefit of the proceeds for the portfolio sales that this is in line with our guidance. So we reduced the gross debt.
Manuela Franchi: On the guidance for '26, if I understood the question correctly, -- this year, we closed for the doValue Group at EUR 217 million. In terms of EBITDA, we indicated in the guidance last year that the EUR 300 million included the bottom end guidance we had given before of EUR 240 million to EUR 250 million. And in coeo, there is no seasonality effect. There are some mild effects related to [ an uptick ] of e-commerce transaction around Christmas and the like, but nothing as typical as the [ core ] activity in the traditional business. In relation to your last question, if you're looking to Page 5, the pipeline of the EUR 250 million does not include the expansion to Southern Europe.
Davide Rimini: And if I may just have a follow-up sort of on the CapEx that you mentioned, the EUR 30 million is -- could you give us sort of a sense why sort of it should be off versus the EUR 35 million sort of spend this year?
Davide Soffietti: Sorry, can you say it again?
Davide Rimini: I just wonder, if I picked up correctly, sort of you are pointing to EUR 30 million CapEx this year off versus the EUR 35 million reported today. I was wondering whether there's any reason for...
Davide Soffietti: The main [delta ] this year we included all the costs mainly related to the Gardant synergies that was a one-off to integrate platform to have the positive effect of the synergies. So from next year, we will save this money. So we continue to spend our Gardant CapEx plus investment in technology...
Manuela Franchi: Yes. Just to be clear, we don't expect a lot of cost from the integration of coeo because it's a different platform. So we will have some integration of unification of back-end platform, but it's more deployment and it's much more contained than in the Gardant case, which included a significant, obviously, FTE reduction effort and related integration of in-market platforms that in this case, we are not going to have. Clearly, you have some costs related to the development of the -- of their platform in our countries and of our platform in their country. The second one has already been expanded in their P&L in 2025, given that we moved ahead just after signing. So this impact of integration is much less. Another important point is differently from -- with an increasing trend vis-a-vis the past, the component of development, new technologies, AI projects as part of the CapEx has materially increased. Last year it was probably around 30%. This year will be more than 50%. This is obviously a function of bringing better processes, better technologies in our core system rather than integrating what we had.
Operator: The next question is from Davide Giuliano of Equita.
Davide Giuliano: I have 4. The first one on gross revenues. Revenues were a touch below your guidance, but more than offset by remarkable efforts on costs. Can you give us some color on the like-for-like trend in revenues? And are you seeing a more pronounced slowdown in recent quarters compared to your guidance? Where do the difference come from? The second one on Greece. In the release, you reported that there are still slowdowns in the onboarding of portfolios, I guess, still related to the Alphabet tranches. In addition, we have also seen a market drop -- a marked drop, sorry, in the collection rate compared to last year. Why are you experiencing these difficulties in onboarding? And in general, what trajectory do you expect for the Greek business going forward? The third one on tax credits. Has there been any relevant developments for state tax credits? And can you give us your expectation on profitability of local tax credit servicing, which will be assigned to AMCO? And the very last one is just a quick comment on coeo results were very good in 2025. And I was wondering in light of Klarna's recent results, if your long-term assessment of the coeo business model or concentration risk with Klarna has changed?
Davide Soffietti: Davide, I'll take your first question on revenues. As we anticipated in Greece, the reduction is not a -- tax reduction is mainly correlated to the -- as you mentioned, we have onboarded a huge amount of portfolios in 2025, very big, more than EUR 5 billion. So all the portfolio are onboarded, and we are managing those portfolio. The only difference is when you onboard this big portfolio, you need to work on those portfolio to have up and running revenue. So the expectation was to anticipate revenue during 2025, but because they are very, very big portfolio, we need to work on those portfolios, start the judicial action to also reach an autologous agreements with the borrower. So this created a temporary delay of those revenues from 2025 to 2026. And this is also impacting the collection rate you were mentioned because for sure, we [ existing ] portfolios that are still not having a run rate collection rate. So the first year will be lower, then we will pick up and go back to the previous collection rate. So we will consider this only really temporary effect that will not be any more in 2026. And then we have also, as I mentioned, in Spain, the reduction of revenue arrears, but that one has been also a choice for us because that part is not high margin. So we prefer to reduce these revenues, increasing other type of credit to manage that have lower revenues, but higher profitability.
Manuela Franchi: On the tax credit, we are waiting or waiting the operating metrics and that the laws to be published by March will indicate on how to execute what was in the budget law. So based on that, they are defining the operating model on which the services they will use will work on. And we assume that after June, that type of business will be moved to them and they will allocate to subservicers. We have, as you know, a good relationship with them, given that we even increased last year or we even doubled the amount of portfolios that we were managing for them after they reassessed the number of services they work with. So we are keeping ourselves for -- to manage that business, which is not included in our budget estimates. And the margin we are hoping for is driven not by the type of receivable, but the operating model that we want to create on the back end on our side, we should be a digital model. So to confirm the margin we have on the rest of the business in Italy. Now on the coeo results, maybe Daniele can comment.
Daniele Seta: Klarna results, you mean?
Manuela Franchi: Yes.
Daniele Seta: We watch very closely the quarterly results of Klarna, of course, because it is a key customer of coeo. First, let me begin by saying that as you have seen from the pipeline, coeo is diversifying much from Klarna. Nevertheless, it is still an important customer. What we watch for in the quarterly results of Klarna is the growth in the transacted volume. And this is growing very healthy across all of the regions where coeo operates. Specifically, the most important are Germany, U.K. and Sweden. In those regions, Klarna is already very profitable with its flagship product which is Pay in 3 installments. But a good news is that they launched recently the Klarna card. It's a debit card that sits in your phone and allow you to purchase in normal brick-and-mortar shops, with buy now pay later installment. And this is already producing an increase in purchase frequency by 8x in Germany. And this is driving a solid growth of transacted volume in U.K. by 40% and in Germany by 20%. So we are happy about Klarna growth. Of course, their profits are suffering from expansion in other products such as consumer financing in the U.S. We think that there's a clear rationale in expanding in those products. And we hope that at a certain point, coeo will be able to expand its product offering towards the more profitable products.
Operator: The next question is from Simonetta Chiriotti of Mediobanca.
Simonetta Chiriotti: Looking at the guidance for 2026, excluding coeo, you projected growth from EUR 217 million to EUR 240 million. Could you elaborate a bit more on the trends in the various markets? So should we expect growth in the Hellenic region, for example, and a further growth in Italy? And my second question is on tax receivables. In the past, I think that you have mentioned that there is an opportunity also in Greece on this segment. Could you just give us an update on this?
Manuela Franchi: On the Hellenic front, we see 3 type of growth. One, the full action on the EUR 7 billion new portfolio onboarded in 2025 will have a collection effect on certain younger vintages that we didn't have before. And this was what Davide was explaining that you need to put activities in place before you see the actual results. On the other side, don't forget that Greece is probably the country where we are diversifying more the product offer. We have the real estate company, the mortgage broking company, the advisory company. We are offering a data proposition out of the advisory company from this year. We have created another company which they manage small ticket unsecured starting from next year, which is called doServe and will open the market for nonfinancial receivables and also the tax receivable opportunities you were mentioning where the process shall start next month. But this is as an upside is included in a very small amount in our budget given that it's a public tender process, and it might take a bit longer. On the Italian front, the extra value perimeter, but also the Gardant one have been growing this year, mildly vis-a-vis last year. And we are now deploying at full speed also the revenue synergies that we had in the Gardant perimeter. Then in Italy, we have the asset management company. So that falls under that perimeter where we have developed now 2 new funds recently actually 3, and we have a pipeline for next year, too. And last, on the data side, we think we will increase significantly the product offer to noncaptive clients. We have already developed the products. And remember, we also are launching in Italy the Stage 2 product, which has now might be -- we might be closing with 2 banks contract. So this is in our assumption. So it's exploring as much as possible the stocks we have and the inflows from BPM, doValue and Sondrio, but also to grow these other revenue lines. While in Spain, apart from the fact that we have developed digital collection now in all the countries with the marginality increase, which is very strong. We mentioned -- I think Davide mentioned that on the 0 to 90 days past due, the margin on the digital channel is more than 80% versus less than 40% before. There, we are deploying a JV, but we will discuss in more details in the next call on the legal servicing side because the structure of the legal services in the Spanish market allow us to develop this type of proposition. So it's really professional services type of revenues, which -- where we are going to use the capacity we have inside with strong lawyers with expertise in this sector for other sectors, which are not NPL related.
Operator: Mr. Della Seta, there are no more questions registered at this time.
Daniele Seta: Thank you all. We wish you a good day.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.